Operator: Thank you for standing by, and welcome to the Meituan Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Scarlett Xu, VP and Head of Capital Markets. Please go ahead.
Scarlett Xu: Thank you, operator. Good evening, and good morning, everyone. Welcome to our Third Quarter of 2025 Earnings conference call. Joining us today are Mr. Xing Wang, Chairman and CEO; and Mr. Shaohui Chen, Senior Vice President and CFO of Meituan. For today's call, management will first provide a review of our third quarter of 2025 results and then conduct a Q&A session. Before we start, we would like to remind you that our presentation contains forward-looking statements which include a number of risks and uncertainties and may differ from actual results in the future. This presentation also contains unaudited non-IFRS accounting standards financial measures that should be considered in addition to and not as a substitute for measures of the company's financial performance prepared in accordance with IFRS Accounting Standards. For a detailed discussion of risk factors and non-IFRS accounting standard measures, please refer to disclosure documents in the IR section of our website. Now I will turn the call over to Mr. Xing Wang.
Xing Wang: Thank you, Scarlett. Hello, everyone. We are in the third quarter, we actively responded to the shift in the competitive landscape of food delivery and quick commerce. Meituan remains the go-to platform of local services for Chinese consumers. Over 800 million consumers use our services, covering everything from food and dining, quick commerce to services retail and more. Specifically, the Meituan's app DAU jumped over 20% year-over-year in the third quarter. On average, users transact with us at least once a week and our top-tier and high-quality users engage with the platform every day. Across all local commerce businesses, we have stepped up product and service iteration to enhance user mindshare and strengthen our competitive advantages. Thanks to our fully upgraded Meituan membership [ Mei tuán huìyuán ] we have effectively boosted for selling activities and enhanced the core user stickiness. We are also the primary platform for merchants' long-term growth, empowering them with the technology and supply innovations and helping them to integrate AI into their operation to improve efficiency. First, let's talk about our food delivery business. Here, we continue to leverage our competitive strengths to deliver industry-leading operational efficiency and a superior consumer experience. Our sustained focus on service quality and the healthy development of the industry has enabled us to navigate a quite dynamic market, strengthen our consumer mindshare and reinforce our leadership in the food delivery sector. Amid intense competition, we stepped up supply side innovation and service upgrades. For our innovative supply models like Ping Hao Fan, or Shen Qiang Shou or Pingbai Weiqing Dian as branded satellite stores. And we further deepened our collaborations with quality merchants. It allows us to offer consumers a wider range of high-quality products across all price bands. And we also selected top-tier restaurant merchants on [Foreign Language] based on real and authentic data and matched the quality offerings precisely with our high-quality food delivery users. Additionally, we have rolled out premium services like on-time guarantee [ Zhunshí baozhèng ] and one-to-one express delivery, [ yi duì yi jí sòng ]. These measures have strengthened our core competitiveness in fulfillment and elevated the delivery experience for consumers and solidified our advantages in user structures. We remain as the Chinese consumers' go-to food delivery platform. In the third quarter, both DAU and MTU as Monthly Transacting User for food delivery hit an all-time high. We further expanded our advantage in user structures. In addition, we stepped up our efforts to address ecosystem issues and invested in the ecosystem development, specifically for couriers' welfare, we expanded the courier pension insurance subsidy program to a nationwide publish beginning in November and extended an occupational injury insurance to 17 provinces and cities. We have also implemented a comprehensive courier welfare scheme, which include critical illness support, educational funds for couriers' children and skill development and academic advancement opportunities for couriers as well as benefits such as work meals, health checkups and travel subsidies. Moreover, we have built couriers homes [ qishou zhi jia ] rather stations across the country to provide our couriers with convenient facilities and services. Going forward, we will keep enhancing couriers' welfare and protection. And as consumers' preferred quick commerce platform, Meituan Instant Shopping continues to lead the industry's rapid growth and service upgrade. In Q3, both new user growth and core user purchase frequency further increased. As we continue to diversify supply, the proportion of users buying across multiple categories has been steady on the rise. This shows our everything now consumer mindshare is getting even stronger. New supply formats like Meituan InstaMart, Shandiàn Sòng expanded rapidly, bringing this high certainty lifestyle to more regions across China. We also teamed up with the leading brands in the liquor and apparel categories, which reflected these top brands recognition of quick commerce's value and their trust in Meituan. In October, we officially launched a branded flagship InstaMart Pingbai Guanqi Shandian Chang, providing retail brands with full quick commerce infrastructure, warehousing, on-demand delivery and the digital system. By leveraging our strengths in user traffic ecosystem and online capabilities, we empowered brands to drive user growth, boost sales and connect more deeply with younger consumers. Beyond that, we are committed to continuously upgrading our quick commerce services. After rolling out the industry's first full cycle service assurance program, [ Anxin San Gou ] we recently introduced an end-to-end authentic product verification process for chinese [indiscernible] and launched the industry's first alliance for high-quality fresh-cut fruits brand [ Huo Qian ]. As the industry leaders, we will keep setting benchmarks that focus on premium quality and top-tier service. Overall, we have built the world's largest and most efficient intracity on-demand delivery network, delivering a best-in-class fulfillment experience to consumers. Our platform has accumulated a large user base of high-quality users with a very strong purchasing power. We also provide merchants with industry-leading services and create the most diverse supply. These valuable assets built up over more than a decade will fuel the long-term growth of our food delivery business. They will also serve as a solid foundation for our efficient expansion in the broader quick commerce space. Now let's turn to our in-store business. In the third quarter, both our merchant base and user base reached new highs with a nearly 20% year-over-year increase and user transaction frequency continued to grow robustly. We further refined our product and content ecosystem. Our goal is to give every consumer simple, more reliable reference for purchase decisions. To date, our platform has accumulated over 20 billion authentic user -- consumer reviews with nearly 3.5 billion new reviews added in the past 12 months. Additionally, we are now using AI to filter out low-quality reviews and those manipulative contents. This way, we can ensure a comprehensive authentic review ecosystem that provides a truly useful decision-making support for consumers. We also expanded the reach and influence of our high-quality list, including the Black Pearl Guide, hidden Jewels and our Must-Eat list Bi Chi Bang. Currently, these 2 lists cover 34 and 144 cities, respectively. Moving forward, we will expand to more regions and welcome more quality restaurants to join our list. Beyond that, we have iterated products like pickup now, [indiscernible] 12:26 smart ordering and one-click payments, extending coverage to more merchants and meeting consumers' more diverse and personalized needs. Moreover, we further promoted our safe learning program, [ Anquán xuéxí jìhuà ] in the broader education space and expanded our safe series, [ Anquán xìliè ] to more categories such as fitness. We offer flexible redemption options, which has significantly boosted consumer trust in prepaid services. For self-service formats such as an unmanned chess and cards, playing cards rooms and self-service KTV, we upgraded our booking system to deliver a smoother hassle-free experience for consumers from reservation all the way to service fulfillment. In healthcare and pharmaceuticals, we expanded our video and phone consultation services to include more doctors from Grade 3A hospitals, [ San jí jia deng yiyuàn ] and offering -- we offered 24/7 instant consultations plus 30 minutes prescription drug delivery. We improved in-store verification service for dental care and medical aesthetics and standardized supply chain management to build end-to-end consumer trust. During the third quarter, we launched the 2025 Polaris medical aesthetic guide [ Beijing Yi Mei Bang ] which has set industry standards and raised the bar for service quality. These are just a few examples. Going forward, we will continue to leverage our deep industrial and consumer insights to turn more offline services transactions into trusted online transactions for consumers. And now let's turn to our new initiative segment. And this segment delivered another solid performance in the third quarter. Our grocery retail businesses, especially for Xiaoxiang Supermarkets and Kuailvdian sustained a strong growth momentum. We not only solidified our market position, but also achieved improvement in operational efficiency. And additionally, Keeta accelerated its global coverage. After launching in Qatar in August, we entered Kuwait and the UAE in September, deepening our presence in these key Middle Eastern markets. In October, Keeta also kicked off a pilot operation in Brazil. Going forward, we will continue to leverage our strengths in product technology and operation know-how to deliver superior consumer -- and delivery experience for consumers in more parts of the world. After 6 months of iterating our promoting Meituan membership, we have achieved good progress. We added new member benefits and exclusive offers across multiple local service categories. This has notably strengthened our user mindshare and boosted member transaction frequency. Specifically, a large number of our mid-tier users have upgraded their membership tiers and the number of high-value members kept growing steadily even in the recent very fierce competitive environment. It's a clear sign of our unique edge in serving high-value users. What's more, our enhanced Meituan membership program is driving growth across businesses in key areas. It supports user acquisition and traffic operation and transaction growth and marketing while also effectively fueling cross-selling among various businesses and consumption scenarios. Moving forward, we will leverage our competitive advantages, broad coverage in local services, continue to refine the membership program and increase user engagement and transaction frequency. During the third quarter, we continued to invest in AI and achieved multiple milestones. For example, we launched several models in our LongCat-Flash series, all delivering leading performance. And we rolled out a range of AI decision-making and application tools tailored specifically for restaurant merchants. And we also launched Xiaomei app, a smart life assistant for consumers. and currently is in larger-scale testing. Going forward, we will make our AI tools more industry-focused and service oriented. We will provide effective solutions for merchants across all operational decision-making scenarios and make consumers' decision-making process and consumption experience more intelligent, more convenient and more personalized. Founded in 2010, Meituan has witnessed and led the digital transformation for China's local service industry. Since 2010, we have built the online purchase, offline consumption user mention in local services through group purchase model. And back in 2013, we stepped into the food delivery space and our intracity on-demand delivery network made food delivery services more accessible than ever, turning it into a key food consumption habit for Chinese consumers. And as leading -- as industry competition keeps evolving, we are confident in maintaining our leading position by continuing to strengthen our core competitiveness. guided by our retail plus technology strategy. We will continue to refine our products and services to better meet consumers' very diverse local services needs while empowering merchants through technology innovation and AI application, altogether to drive the sustainable and healthy development of the whole industry. So we are as ever committed to helping people eat better, live better. And with that, I will turn the call over to...
Shaohui Chen: Thank you, Xing. Hello, everyone. I will now go through our third quarter financial results. During this quarter, our total revenue increased by 2% year-over-year to RMB 95.5 billion. Cost of revenue ratio increased 12.9 percentage points year-over-year to 73.6%. This was primarily driven by: first, higher incentives for our couriers to maintain industry-leading delivery service quality and experience; second, the increased cost in our overseas operations. These factors were partially offset by the improved gross margin of our grocery retail business. Selling and marketing expenses ratio increased 16.7 percentage points year-over-year to 35.9%, driven by our increased investments in promotion, advertising and user incentives to enhance our brand awareness, user acquisition and core user engagement. R&D expenses ratio slightly increased to 7.3% as a result of our increased investment in AI, while G&A expenses ratio maintaining stable year-over-year at 3.1%. This quarter, irrational competition within the on-demand delivery industry significantly distorted sector-wide profitability. Our deliberate strategy investments to sustain leadership and competitiveness resulted in a total segment operating loss of RMB 15.3 billion and an adjusted net loss of RMB 16 billion. However, we maintained uncompromised service standards while continuing to drive initiatives that foster the industry's sustainable development. As of September 30, 2025, we held cash and cash equivalents and short-term treasury investments totaling RMB 141.3 billion. However, cash generated from operating activities turned to negative RMB 22.1 billion, primarily due to our investments in response to the intensified competition. Now turning first to our core local commerce segment. Revenue declined year-over-year this quarter, primarily driven by 2 factors. First, intensified competition caused a significant drop in food delivery average order value, weakening commission revenue growth. Second, delivery service revenue saw negative growth due to substantially higher incentives deducted from delivery service revenue. Despite these headwinds, we strategically increased investment across our ecosystem to reinforce market leadership and drive sustainable growth. For consumers, we strengthened marketing efforts to enhance brand positioning and price competitiveness while boosting user engagement. For couriers, we expanded incentives to guarantee deliver service quality and experience. Besides, supporting merchant partners remains a priority for us. Having empowered over 360,000 restaurant merchants nationwide, we recently committed an additional RMB 2 billion in merchant support funds. We hope to enable more restaurant partners to achieve efficient and sustainable operations. While these investments waived on the segment profitability in this quarter, they solidified our leadership in both food delivery and Meituan Instashopping. Our market position in core in-store categories also remained stable throughout this period. We sustained our role as consumers go-to platform for local services. Both order volume and GTV for core local commerce maintained healthy growth this quarter. Notably, on-demand delivery saw accelerating order growth. Core user base grew steadily year-over-year with more low-to-medium frequency users moving up to high frequency. These users are transacting more often, staying more engaged and exploring more consumption scenarios. I mean the recent demand boost from the intensified industry competition, we secured the highest quality incremental orders. Moving forward, we will keep focusing on consumption frequency and engagement of core users through better supply and fulfillment capabilities. In-store business also sustained its strong growth momentum with continued outperformance in lower-tier markets. Turning to our new initiatives segment. During this quarter, segment revenue grew by 15.9% year-over-year to RMB 28 billion this quarter. Despite the impact of strategic transformation of Meituan Select, our revenue remained solid growth driven by the expansion of our grocery retail business and overseas business. The segment's operating loss and operating loss ratio both narrowed on a quarter-over-quarter basis to RMB 1.3 billion and 4.6%, respectively. Thanks to our efforts in improving operating and marketing efficiency in our grocery retail business and other new initiatives. The year-over-year increase in operating loss was mainly due to our increased investment in overseas business. As we look ahead, we remain confident in our ability to navigate a dynamic and competitive environment. We are making deliberate investments in technology, service quality and our ecosystem. These investments will strengthen our competitive position and unlock new growth opportunity for the industry over time. We have full confidence in our ability to deliver healthy, high-quality growth over the long run when competition normalize. With that, we are now open for Q&A.
Operator: [Operator Instructions] Your first question comes from Ronald Keung from Goldman Sachs.
Ronald Keung: So I want to ask, can management comment on any notable changes in the competitive landscape of the food delivery sector, particularly as we head into the fourth quarter. Have we seen any industry subsidies that is starting to scale back? And we've noticed your competition has stepped up investments in membership programs like 88VIPs and these membership programs. So how is the engagement and retention trending for your core customers? And sorry for a long question. But from a financial standpoint, I want to also ask how should we expect fourth quarter performance for the food delivery has there been any change in the long-term outlook for growth and profitability of the business?
Xing Wang: Well, Ron, thank you for your questions. Before I get into the question, let me restate what we have said very clearly over the last 2 quarters. First, I think the food delivery price war is an example of evolution nature and low price, and low quality and essentially a race to the bottom. We are firmly against it. And the last 6 months have proved the one thing, and it doesn't create any real value for the industry, and it cannot be sustainable. And second, we are doubling down on curious rise and protections and on supporting for small and mid-sized merchants. That's the only way to keep the industry healthy in the long run. And the third, we will focus on doing the right things, that's serving consumers, merchants and couriers as well. And we are fully confident in defending our leadership in on-demand delivery in creating real long-term value. In October and November in the industry, the subsidy level temporarily went down versus the summer peak season and especially after the Double 11 promotion period. And we are still closely monitoring the market dynamics and we'll adjust our strategy accordingly. And recently, we have seen a rebound in our market share in order volume. We maintained a consistent leading addition in GTV market share for mid- to high AOV orders. For example, I think it's very important to focus on higher AOV sector. Our GTV market share for orders with a net AOV above RMB 15, it's more than 2/3, while our GTV market share for orders with a net AOV above RMB 30 is above 70%. I think those are more valuable sectors we want to focus on. Our net AOV per order remained much higher than other platforms. And our core users continue to show high retention rate. with their consumption frequency, stickiness still growing steadily, I think this clearly reflects the strong user mind share we have built in the food delivery sectors and as well as our competitive edge in serving our core users. It's common for consumers to have a multiple local service app installed on their phone. However, Meituan remains the go-to platform of food services for hundreds of millions of consumers. This is especially true among our core users. Their consumption frequency has been several times higher than that of the average consumers. Even in such a highly competitive market, they show strong brand recognition and deeper consumer loyalty. This is because high frequency or higher AOV consumers value the delivery experience and the supply quality, service reliability far more than just a lower price. Our faster and more reliable delivery provides greater certainty, particularly during extreme weather and holiday periods. Our diverse and valuable money offerings across all price ranges allow us to precisely match consumers' needs. Through our Meituan membership program, we offer more attractive deals and exclusive service upgrades to our core users, and we are confident in our ability to deliver higher quality and more comprehensive services to our core users. This will help us further strengthen their stickiness and engagement in the long run. In addition, continued investment by industry peers in the premium user segment will expand the overall addressable market benefiting us as well. We will leverage our strength in service quality and brand to further strengthen our position among a broader base of premium users. In terms of financial data, and although I believe food delivery losses has peaked in Q3, and our food delivery business will still incur a substantial loss in Q4, we will make necessary investment to maintain our leadership. But we are not interested in engaging price war. So we would adjust our investment dynamically based on the competitive landscape. And we will continue to strengthen our advantage in service experience and operational efficiency. In the medium to long term, the competitive landscape will remain dynamic; however, the business or industry revolution typically follows a clear trajectory from capital-driven to efficiency-driven, and ultimately to innovation-driven. China's food service has now entered a stage where supply-side innovation and service upgrades and technological solutions are critical for sustainable growth and traffic gain and scale expansion purely driven by very aggressive subsidy will not be sustainable. And we believe the current irrational competition in food delivery will inevitably transit to a more rational and mature phase. Ultimately, the platform with deeper industrial insights and proven operational excellence and ability to sustain high-quality growth will be the industry leader. Therefore, as I mentioned last quarter, Meituan will stay focused on doing the right things to expand high-quality selections to ensure a fast and reliable delivery and offer consistently affordable prices. We will defend our market position while continuing to create greater value for the whole industry. Food delivery has become a high society lifestyle for more and more consumers with clear long-term growth prospects. Our long-term target of reaching 100 million high-quality daily order remains unchanged. We remain confident in maintaining industry-leading unit economics with proven operational efficiency advantages. Long term, even with higher subsidy in a dynamic market, we expect food delivery profit to return to a reasonable level. Thank you.
Operator: Your next question comes from Gary Yu from Morgan Stanley.
Gary Yu: I have a question regarding Instashopping. The other e-commerce platforms are doubling down on Quick Commerce and bringing more traditional e-commerce brands to this space. How does management view our competitive edge? And after our own Double 11 event, could you share Meituan Instashopping strategy going forward? Will you scale up investment in the fourth quarter?
Shaohui Chen: Thank you, Gary, for your question. First of all, I would like to highlight that we have a particularly strong competitive advantage in our quick commerce native supply. That is even stronger than that of our food delivery business in which we are already a leader. From our perspective, quick commerce operates on a fundamentally different logic than traditional e-commerce as well as half-day delivery or next-day delivery. Quick commerce means no stockpiling. You get what you see right way. Platform needs to identify real consumer needs and get the right supply in place. Leveraging years of understanding of the market demand and merchants pain points, we have digitized offline supply and deploy our InstaMarts to better address the quick commerce demand. Simply shifting traditional e-commerce supply to the quick commerce channels creates no incremental value for either merchants or consumers. To better serve the lifestyle shaped by quick commerce, we are also driving industry-wide upgrades in infrastructure and the service experience. For example, we extended 207 Meituan InstaMarts and pharmacies, roll out chilling facility for alcohol and beverages and introduced quality guarantee services for fruit cart such as Bright Kitchen [ míng chú liàng zào ] and damage guarantee Huabei pay. More importantly, our food delivery business has already cultivated a group of users who highly rely on 30-minute certainty. Our platform is the best fit for quick commerce. We delivered the highest conversion rates and incremental sales for merchants. As such, we managed to solidify mindshare among our core user group and defend our leadership across categories despite intensified competition. Under the new competitive landscape, we are deepening omnichannel partnerships with brands beyond physical stores and Meituan InstaMart. We also launched branded flagship InstaMart Pingbai Guanqi Shandian Chang, which operates 24 plus 7 operations for 30-minute delivery of diversified and quality brand products through the native quick commerce channel. We provide brands with 4 quick commerce infrastructure, warehousing, delivery and digital systems. Hundreds of brands have already joined during Double 11. We also stepped up user education for this initiatives. On the first day of the Double 11 event,[ Hangzhou's ] brand saw 300% sales growth in their branded flagship InstaMart. We hope to help brands move beyond the evolution in traditional e-commerce and tap into new growth opportunities in quick commerce. Our branded flagship InstaMart enables lower operating costs, faster turnover, stronger brand awareness and more sustainable repurchase for brands. We are also enhancing our brand service tools. For instance, we offer smart distribution tool and AI-powered decision hub for our FMCG partners. We will keep working to remain the go-to platform for brands to unlock growth in quick commerce. In Q4, we will keep investing in supply side operations while ensuring best-in-class user experience. We also stepped up our investment in user education around Double 11 and other campaigns. Operating loss for Meituan Instashopping in Q4 may slightly widen versus Q3. That said, our competitive moat across supply, user base and fulfillment will allow us to sustain leadership with higher subsidy and operational efficiency. We are confident in restoring profitability and achieving a reasonable and sustainable margin in the mid- to long term. Thank you.
Operator: Your next question comes from Kenneth Fong with UBS.
Kenneth Fong: Recently, AMAP has introduced a 3 Star initiative. Taobao also launched the group buy deals. So how do management view the impact of this move on the competitive landscape to our in-store business? And under this new competitive environment, what specific measures will the company implement to address these challenges?
Xing Wang: Thank you, Kenneth, for the question about our in-store business. Our in-store business model and operational strategy differ from roles of competitors across category mix, merchant scale and type of marketing of ROI. By building authentic, accurate and easily accessible POI data over time, we have established a dominant consumer mindshare as the go-to platform for local services. Consumers complete most of their local service transactions on our platform. On the other hand, AMAP has a very clear consumer image as a navigation tool. It's a navigation tool that make it difficult to cultivate consumer mindset for searching for local services. We have built a comprehensive user review ecosystem based on our operation in the past decade, accumulating over 25 billion of [indiscernible] reviews. This constitute one of the key reasons why consumers trust and consistently choose Meituan as their go-to platform for local services. We also have the broadest category coverage and selections in the local service space. We offer consumers one-stop service and seamless experience, including table reservation, diverse group buy deals coupons, in-store ordering, payment and membership benefits. Moreover, we maintain industry-leading merchant coverage, leveraging our experienced offline business development team and deep industry insights, we deliver best-in-class service to merchants. These are all the core competence that we believe other people cannot be quickly replicated in response to the evolving and dynamic competition. We continually iterate our product and operational capabilities to provide more diversified and personalized services to more quality merchants and consumers. First, we continue to cultivate an ecosystem conductive to quality merchants by expanding the coverage of our Must Eat list, Must Visit list, Black Pearl Guide and by introducing more specialized leads, we are able to provide merchants with more targeted traffic promotion and better transaction conversion. Second, we have also refined our rating criteria to encourage merchants to focus on product and service quality rather than just the number of consumer reviews. We utilize big data to intelligently identify and help merchants automatically drop abnormal reviews, significantly optimizing both merchant and user experience. We believe with the AI technology further penetrate into our business, we will be able to further improve the system. Additionally, we roll out more consumer-friendly products such as VR merchant tool for reservation, preorder while querying and smart in-store ordering. This digital solutions further enhance consumer experience and improve merchant operational efficiency. The above are just a few examples. In the future, we will continue to focus on 3 key directions: ecosystems optimization, service innovation and operation upgrade. We will drive to provide consumers with a seamless merchant fuller life cycle empowerment across customer acquisition, conversion and retention. We will continue to foster sustainable industry growth through digital transformation. Competition may temporarily impact margins for our in-store business, but we expect long-term competitive landscape for in-store business remain unchanged. With full confidence, we believe we can maintain our leading market position and continue to lead the evolution of the industry ecosystem. Thank you.
Operator: Your next question comes from Thomas Chong with Jefferies.
Thomas Chong: Company has rolled out AI agent Xiaomei for testing. What's the current progress and future plan for Xiaomei? Additionally, will Meituan app integrate in that AI agent directly in the future. Could management share more about our future plans and investment strategy in AI? Thank you.
Xing Wang: Thank you, Thomas. In this quarter, we continue to iterate our AI capability across 3 core dimensions. The first is training our in-house LLM. The second is AI in products and the third is AI at the work. So we have rolled out multiple open source LongCat-Flash series model. So we trained that LongCat and large language model in-house. So these models continue to get quite favorable feedback from the broader developer communities. So I think that's the beauty of open source model. And our LLM are deeply integrated with our core application use cases. It drives effective innovation based on our real-world needs to support our long-term strategic growth and the online to offline convergence. For AI applications, we have upgraded a bunch of AI tools for local services and offering smarter and more tailored services to our merchants. For example, our Kangaroo Advisors Diashu [Foreign Language] can help restaurant merchants with product selections and location planning. And another application, our smart operator, [Foreign Language] integrates multifunctional capabilities such as an AI reception, AI operational analysis and AI review responses, enabling intelligent and efficient store operations for merchants. And we also launched our Smart Life assistant Xiaomei app for users, which is now in quite a large-scale testing period. We also introduced our AI agent [Foreign Language] in our Meituan app. So that answers your question. We are testing both stand-alone AI agent app. But at the same time, we are going to integrate AI agent function in our main Meituan app. And these 2 agents now cover various aspects of local services, including dining, accommodation and transportation, travel, entertainment and shopping. And they can complete the process from searching to price comparison and to order placement, which can provide the users with a more intelligent and more personalized service. We will also continue to develop tools like AI coding and we have an application that's no code to help employees improve their work efficiency. And looking further forward, we will further enhance our competitiveness in our in-house foundational model and explore more AI agent applications in local services. We will also iterate our AI agent strategy based on operational insights and user feedback and driving deeper AI-enabled empowerment in our ecosystem.
Operator: Your next question comes from Ya Jiang from Citic.
Ya Jiang: And my question is about the new initiatives and related businesses and for your Keeta in Hong Kong, is it on track to reach breakeven thing? And additionally for the Middle East following our Q3 expansion into several new GCC countries. How is performance shaping up in this market? And also with recent reports about Keeta entering Brazil, even when there are strong existing payers like iFood and BD what will Keeta do differently in Brazil to take [indiscernible] even shares there? And lastly, given the particularly intense competition in domestic market, what strategic rationale supports accelerating over and base expansion at this juncture? And how does this align with our overall capital allocation framework? How should we project losses for new initiatives segment next year? Lots of questions. Thanks.
Xing Wang: Thank you, Jiang. And thank you for your interest in our new initiatives. In this October, Keeta in Hong Kong has turned profitable. So I think that's a major milestone for us. Remember that we launched Keeta in May 2023, and it become profitable in October 2025. So it took us 29 months to get to that milestone. So it's actually ahead of our original 3 years plan. So I think that proves what really works in this industry is a customer-centric approach, and it proves our deep operational know-how and strong technology capability can bring to better unit economics in and we are going to keep improving on that basis. It will bring more meaningful quarter-over-quarter improvement. So -- and also, we expect to follow the similar path in other markets, for example, in Saudi Arabia and other GCC markets. Regarding the GCC region, building on our foundation in Saudi Arabia, we launched in several additional markets in GCC. For example, right now, they are still in very early stage. It's important to point out, we launched in Qatar in August and launched in Kuwait and UAE in September. Again, still in very early stage. So I think it's premature to share more details. But given the common market structure and user behavior across the Gulf region, I think it's reasonable to believe it remains one of the most attractive markets for food delivery. And also compared to Saudi Arabia, consumers in some other GCC countries not only have more mature food delivery habits, the penetration there is already higher, but they also benefit from more diverse and more richer restaurant supply. So that suggests there's a lot of untapped penetration potential in this market. Regarding our latest market, Brazil, I have already shared some thoughts in previous earnings calls. Brazil ranks among the top 5 food delivery markets in terms of GMV globally, and it's still growing at over 20% annually. But when we did the market research in Brazil, we noticed that the transaction fulfilled through more traditional channels such as through WhatsApp or very older way, phone calls or websites, they are still a very big portion, maybe even exceeding the online food delivery platforms. This indicates immense potential for online penetration over the next few years. And I think it provides an opportunity for Keeta to enter this market in spite of already -- there are already some incumbents. So in the past, our food delivery operation in China have established the world's most efficient tech platforms, including algorithms and the whole tech system. So that system can support over 150 million peak daily orders for very organized and very fast on-demand delivery. And furthermore, Keeta's early success growth in Hong Kong and Saudi Arabia over the past 2 years, that further proves our capability to localize our operation for different markets. So I think we are confident in bringing a better experience service to those markets, because I believe in this industry, it's always important to go back to the basics because there are different stakeholders in the industry. What do consumers want? Maybe they have different preference for different cuisines. But I think in any market, the consumers always want a big selection, a good selection and they want affordable prices, and they want to have reliable and faster deliveries. I think that's the common need across different markets, no matter it's in China -- Mainland China or Hong Kong or Saudi Arabia or other GCC countries or Brazil or in other markets. That's what consumers want. And for merchants, they want to have more businesses and they want to have a reasonable commission rate and they want to have a good delivery experience. And also, we need to think about what regulators want or the general society want. So there, I think they are interested in more job creation. Regulators want to see happy consumers, want to see happy merchants. They want to see more job creation and want to see more talent development. I think we are going to do all that in those markets where we do business. And regarding capital allocation, we should emphasize that Keeta is a part of our new initiatives. Our other new initiatives also includes grocery retail, which is another long-term strategy for us. We scaled back the Meituan Select by the end of Q2, but we will expand our Xiaoshan supermarket that's doing very well. And we will try other offline retail format like [ Happy Monkey Kuai Lu ] in 2026 to further improve our supply quality in grocery. So Keeta and grocery retail, I think these 2 represent a high conviction long-term opportunity for us, given this proven model and our transferable expertise from China to some other markets. But near term, our expansion into GCC markets and Brazil requires a substantial upfront investment in Q4. But given our early success in Keeta in Hong Kong, I think we are confident that we can see a quite good trajectory in those markets, including Saudi Arabia and other GCC markets. There, we already see a rapid improving unit economics and I think those markets are big enough to have multiple players. And yes, overall, we expect Keeta in GCC countries and Brazil to follow a similar unit economic improvement trajectory as we have seen in Hong Kong. And overall, we don't expect to see a bigger loss in -- for new initiative segment in next year compared to 2025. Thank you.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Scarlett Xu for closing remarks.
Scarlett Xu: Okay. Thank you for joining our call. We look forward to speaking with everyone next quarter. Thank you so much for your support.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.